Operator: Good day and thank you for standing by. Welcome to the Q3 2024 Great Lakes Dredge & Dock Corporation Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your first speaker today, Tina Baginskis, Director of Investor Relations. Please go ahead.
Tina Baginskis: Thank you. Good morning, and welcome to our third quarter 2024 conference call. Joining me on the call this morning is our President and Chief Executive Officer, Lasse Petterson; and our Chief Financial Officer, Scott Kornblau. Lasse will provide an update on the events of the quarter, then Scott will continue with an update on our financial results for the quarter. Lasse will conclude with an update on the outlook for the business and market. Following their comments, there will be an opportunity for questions. During this call, we will make certain forward-looking statements to help you understand our business. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our business are set forth in our earnings release and in filings with the SEC, including our 2023 Form 10-K and subsequent filings. During this call, we also refer to certain non-GAAP financial measures, including adjusted EBITDA, which are explained in the net income to adjusted EBITDA reconciliation attached to our earnings release and posted on our Investor Relations website, along with certain other operating data. With that, I will turn the call over to Lasse.
Lasse Petterson: Thank you, Tina. Great Lakes had a strong third quarter, demonstrating excellent product performance and significant wins in the bid market. For the third quarter, we achieved net income of $8.9 million and adjusted EBITDA of $27 million. During the quarter, Great Lakes secured $543 million in new contracts, including 6 beach renourishment projects that captured 79% of the coastal protection market and 3 port deepening projects that accounted for 81% of the capital project bid market and a significant win was the large hopper dredge project, Sabine-Neches Contract 6 Deepening project with a total value of $235 million. That included both the base scope and open options. By the end of the third quarter, we achieved a record backlog of $1.2 billion, along with an additional $465 million in pending award low bids and options, providing utilization and revenue visibility well into 2026. After the quarter closed, 2 projects totaling $90 million that were in low bids pending award at the end of the third quarter converted to awarded status. In our backlog are 2 large port deepening projects related to LNG export facilities, the Port Arthur LNG Phase 1 project and the Brownsville Ship Channel project for NextDecade. Dredging operations started on both of these capital projects in the third quarter, slightly later than previously expected, but now progressing well. The Biden administration’s temporary pause on approving new LNG export licenses have not impacted our two awarded projects. Our newest hopper dredge, the Galveston Island, was delivered in January this year, and she has gotten off to a great start with solid project performance. We held the naming ceremony for her in the Galveston Harbor on October 25, and she is now back at work in Texas. Her sistership, the Amelia Island, is expected to be delivered in the second half of 2025 and will also go straight to work on projects already in backlog as the Galveston Island did. These dredges are specifically designed to be efficient on beach rebuild projects like the 6 projects we recently have been awarded. We remain steadfast in our long-term strategy to enter the U.S. offshore wind market. The Acadia, the first U.S.-flagged Jones Act compliant vessel designed for subsea rock installation is currently under construction at the Philly Shipyard. As announced by Philly earlier this year, they have reached a deal to sell the yard to a Korean shipyard group with regulatory approvals expected later this year. We have met with the prospective new owner and are optimistic that the high priority and planned investments into the yard will have a positive impact on the next phases of the Acadia build should the transaction be completed. The Acadia is contracted to install rock foundations on Equinor’s Empire Wind 1 scheduled for a 2025 start and to perform rock placement to protect subsea cables on the Orsted’s Sunrise Wind project scheduled for 2026. At the end of the third quarter, our offshore wind backlog was $44.6 million with an additional $12.7 million in options pending award. Offshore wind is pivotal for the U.S. to secure its long-term energy needs and objectives, and we expect this to lead to significant long-term growth opportunity for Great Lakes. Additionally, the Acadia is well suited for international offshore wind projects as well as rock protection of our pipelines in the oil and gas and carbon capture market and cable protection in the telecommunication and power cable sectors. We have prequalified and tendered on a number of rock placement projects for the Acadia for the remainder of the decade, both in the U.S. and internationally. The very positive interest from the offshore wind developers for Acadia is manifested by post quarter end; we signed the first vessel reservation agreement and are currently negotiating a second with two different offshore wind developers for projects in the United States with planned rock installation through 2029. I’ll now turn the call over to Scott to further discuss the results for the quarter, and then I’ll provide further commentary around the market and our business.
Scott Kornblau: Thank you, Lasse, and good morning, everyone. I’ll start by walking through the third quarter, which resulted in revenues of $191.2 million, net income of $8.9 million and adjusted EBITDA and adjusted EBITDA margin of $27 million and 14.1%, respectively. Revenues of $191.2 million in the third quarter increased $74 million from the prior year’s third quarter, primarily due to the Galveston Island actively working on projects and higher capital and coastal protection project revenues, which together made up 80% of our total revenues. For the trailing 12 months, revenues were $741.6 million, net income was $59.1 million and adjusted EBITDA and adjusted EBITDA margin were $136.5 million and 18.4%, respectively, demonstrating our strong project performance, high win rate in a robust bid market and the many successful initiatives we’ve implemented in recent years. Current quarter gross profit and gross profit margin increased to $36.2 million and 19%, respectively, from $9 million and 7.7%, respectively, in the third quarter of 2023. The quarter-over-quarter increase in gross margin is primarily due to improved project performance and higher capital and coastal protection revenue, which typically yields higher margins, partially offset by an expedited dry docking of a dredge in preparation for several jobs she has recently won set to begin in the fourth quarter. Third quarter 2024 G&A of $19.8 million is $5.6 million higher than the same quarter last year, primarily driven by higher incentive pay as a result of this year’s strong financial results. Net interest expense of $4.9 million for the third quarter 2024 was up from $2.8 million in the third quarter of 2023, primarily due to interest related to the term loan, which closed earlier in the second quarter of this year. Third quarter 2024 net income tax expense of $3.2 million increased $5 million compared to the same quarter of 2023, driven by the higher current quarter income. Rounding out the P&L, net income for the third quarter was $8.9 million compared to a $6.2 million net loss in the prior year quarter and adjusted EBITDA increased from $5.3 million to $27 million. Turning to our balance sheet. We ended the third quarter with $12 million in cash and nothing drawn on our $300 million revolver, which doesn’t mature until the third quarter of 2027. Total liquidity at the end of the quarter was just over $318 million, and we have no debt maturities until 2029, putting us in a great position to complete our new build program with ample liquidity. During the quarter, S&P upgraded our corporate credit rating to B- from CCC+, which further demonstrates the improvements we have made this year to our balance sheet, cash flows and overall performance. Total capital expenditures of $38.4 million in the third quarter of 2024 consisted of $19.4 million for the construction of the subsea rock installation vessel, the Acadia, $13.6 million for the Amelia Island and $5.4 million for maintenance and growth. Our full year CapEx guidance remains between $130 million and $150 million, though will likely come in towards the lower end of the range. Looking forward to the fourth quarter, we expect utilization and revenues to increase from the third quarter as we have no regulatory dry dockings planned and every active dredge is working most, if not all of the quarter. We also expect to see margins increase in the fourth quarter, which has historically been the case due to certain environmental windows opening up. Finally, as has been the pattern this year, the majority of the work performed in the fourth quarter will be capital and coastal protection projects, which should cap off this very successful year with another strong quarter. With that, I will turn the call back over to Lasse for his remarks on the outlook moving forward.
Lasse Petterson: Thank you, Scott. The dredging industry continues to see strong support from both the White House and Congress. And the 2024 Energy and Water Appropriation Bill provided a record $8.7 billion to the U.S. Army Corps of Engineers. Additionally, the 2023 Disaster Relief Supplemental Appropriation Act allocated $1.5 billion for infrastructure repairs and beach renourishment projects. The increased budget and additional funding have supported a very strong bid market in 2024 with a robust beach renourishment market and several port deepening capital projects. The 2025 Corps’ budget is set to be another record appropriation. On June 28, 2024, the House Energy and Water Appropriations Subcommittee passed a bill providing $9.96 billion for the Corps $2.7 billion above the President’s request. This includes $5.7 billion for operations and maintenance with $3.1 billion from the Harbor Maintenance Trust Fund. On August 1, the Senate’s Appropriation Committee approved its draft that allocates $10.3 billion in total funding for the Corps. On September 25, President Biden signed a continuing resolution for the Corps’ fiscal ‘25 budget with lawmakers having until December 20 to finalize the full year spending. The passing of these appropriations will ensure solid funding for the U.S. Army Corps of Engineer for 2025, and we anticipate that this funding will convert into firm projects and another good bid market for the U.S. dredging industry in 2025. Looking further ahead, the Water Resource Development Act, or WRDA, is on a 2-year renewal cycle and includes legislation that authorizes the financing of the Corps’ projects in the next 2 to 5-year period. WRDA 2024 has seen strong bipartisan support, having been approved by key Senate and House committees. Currently, the two chambers are working to reconcile the differences in their respective versions of the bill. And once completed, the final version will be sent to the President to be signed into law. The U.S. offshore wind development and operational pipeline expanded by 53% over the past year, now boasting a potential generating capacity of approximately 80.5 gigawatts by 2025. On September 6, Massachusetts awarded 2.7 gigawatts in total PPAs, which included 1.1 gigawatt for the SouthCoast Wind project, 0.8 gigawatts on New England Wind 1 and up to 0.8 gigawatts on the Vineyard Wind 2 project, with Rhode Island awarding the remaining 0.2 gigawatts on the SouthCoast Wind project. This growth attributed to new leasing areas and heightened sector investment provides us with a very strong long-term market outlook, supporting our revenue growth opportunity in the offshore wind market. To conclude my remarks, the company has achieved strong operational improvements and results in 2024, driven by strong project performance and higher vessel utilization. Our record backlog gives us good visibility of fleet utilization through 2025 and well into ‘26. This strengthens our ability to deliver strong results, generating higher free cash flows supporting the modernization of our fleet with efficient dredges and our expansion into the growing offshore wind market and thereby generating value for shareholders. And with that, I’ll turn the call over for questions.
Operator: Thank you. [Operator Instructions] Our first line – question comes from the line of Joe Gomes from NOBLE Capital. Your line is now open.
Joe Gomes: Good morning. Thanks for taking my questions.
Lasse Petterson: Good morning, Joe.
Joe Gomes: Very nice quarter, gentlemen. I wanted to start off for the quarter that we’re currently in. Obviously, you’ve got a significant amount of low bids and options pending at the end of the third quarter. But I just wanted to get your viewpoint of what you’re seeing as kind of the award environment for the fourth quarter.
Scott Kornblau: Yes. So as Lasse mentioned, $90 million of the amount we had in low bid pending at the end of the quarter was already awarded. We are expecting a couple of more to happen for sure this quarter. Within that, Joe, there are also about $140 million of options and that we’re just waiting. There’s time that they have in order to exercise those options. Some could happen in the fourth quarter. Some of those deadlines are not until the first quarter of next year. So we’ll just have to wait and see. But again, $90 million in the bank and probably a couple of other projects, we feel pretty good should get awarded rather quickly.
Lasse Petterson: Yes. And I just want to add there, Joe, that normally, when we see our bidding cycle, the fourth quarter and first quarter of the year is normally the lower part of our bidding market and the Q2 and Q3 is really the strong bid market. So that’s kind of the cycle we go through.
Scott Kornblau: And I guess, Joe, if I could just add one more thing. And I know we’ve been talking about this project for a number of years right now. But in our low bid pending is an LNG project. And I’m sure you’ve seen the recent headlines of Woodside acquiring Tellurian, we feel that the prospects of that LNG project are much higher now than they have been. So the timing of that, I don’t know, but that’s something that’s just been sitting in there for years that we feel better about now than we did at the beginning of the year.
Joe Gomes: Thank you for that. And just the Philly Shipyard potential sale, are you seeing any delays or pushouts of work on the Acadia at this point? Or is everything still running up to date of where your expectations were?
Lasse Petterson: Well, the sale of the shipyard has been announced and the new owner has been out in the press and really shown ambitions in the U.S. shipbuilding market and announcing investments into the yard. So all that should be positive. The regulatory approvals has not been coming through yet. The new owner and Aker is saying that, that is expected to happen here in this quarter. And then the transfer will happen. It’s a share purchase agreement between the two. And so the responsibility for the project is then becoming the new owner’s responsibility similar to what it has been for Aker.
Joe Gomes: Okay. And then one more, if I may. Just trying to get a little update on the competitive environment, what you see in terms of new vessels being completed or existing vessels being taken out of the market. Any insight there as to whether the market has gotten more competitive or kind of stayed the same is appreciated.
Lasse Petterson: No, the bid market for 2024 has been very strong, as we have said on several calls, and that has supported the dredging fleet. We had idle dredges last year and also in the beginning of 2024. But now our fleet is fully occupied. One of our competitors have announced the retirement of two older dredges, and I think that has already been exercised. So that reduces some capacity. We have added the Galveston Island, and we took out one vessel last year. So the capacity in the market has not really increased substantially. We also have the ability to reduce with some of our older hopper vessels, and that’s why we’re building both the Galveston and the Amelia Island to facilitate that transfer from older vessels to new and more modern equipment. And the competitive environment today is – there’s not a major change in that, really supported by the strong bid market. And that you can see in our really strong backlog.
Joe Gomes: Okay, great. I will get back in queue. Thank you and again congrats on the quarter.
Lasse Petterson: Thank you.
Operator: Thank you. Our next question comes from the line of Julio Romero from Sidoti & Company. Your line is now open.
Julio Romero: Thank you. Hey, good morning, Lasse and Scott. Can you guys talk about dredging gross margins in the quarter? 19% came in very solid. Scott, you mentioned that you had an expedited dry docking in the third quarter. Any way to kind of quantify the impact to the third quarter margin? And then secondly, can you kind of talk about the several jobs recently won that are expected to begin in the fourth quarter for that dry dock vessel?
Scott Kornblau: Yes. So we had a vessel that we were unsure of the timing of the dry dock because we weren’t going to invest in it until we had clear visibility to backlog. And then the explosion of the third quarter, we all of a sudden added three jobs for her, all beach jobs, so beach renourishment job. So we went ahead and pulled that into the third quarter. It was about a $2 million to $2.5 million cost, Julio. So I’m not quick enough to do the math on the margin impact, but that’s what it was. But now she’s ready to go, and I said we’ll commence these beach projects now. And again, we – that will go well into 2025 for her.
Julio Romero: Okay. Excellent. And then you expected – you said margins expected to increase in the fourth quarter. Is that a year-over-year comp or sequential?
Scott Kornblau: Yes, from the third quarter. As I mentioned, we’ve talked about this before. We historically see the fourth quarter being a very, very strong margin quarter. There are certain environmental windows that open up. There’s jobs we cannot do until beginning in the fourth quarter, and we’re able to typically get higher margins for that. So if you just go back and look historically in normal years, you’ll see fourth quarters typically have it. And there’s going to be no exception here. So the work that we will start commencing is a lot of this environmental window work that comes with higher margins than the third quarter. You go back and look at last year’s fourth quarter, the first three quarters of last year were somewhat marginal, and then we saw the explosion in the fourth quarter driven by a lot of the capital project wins and then this environmental work that we were doing in the fourth quarter.
Julio Romero: Got it. Very helpful. Last one for me is just the backlog growth in capital projects you saw in the third quarter was really outstanding there. How do we think about 2025 kind of margin potential and balancing getting excited about the mix of capital projects along with just kind of the puts and takes of the business?
Lasse Petterson: Yes. Generally, the large backlog that we have in place gives us very good visibility of the utilization for next year. And most of that utilization is on capital projects and beach re-nourishment projects. So, that is typically good margin activity for us. So, that is a positive sign. And again, as I have said, the budget for the Corps, once that gets approved, it’s up to the Corps to convert those funds into projects. And if they are performing similarly in 2025 as they did in ‘24, it should be a good bid market. Scott, do you want to add?
Scott Kornblau: Yes. Julio, I do want to add, and I will give a lot more color on the year-end call, because as you know, we are still planning 2025. But the way the calendar is falling, 2025 will be a higher drydocking year than 2024. So, we will have that, but the backlog is solid. The visibility we have to revenue for next year is extremely high, a number of vessels that are fully utilized for next year and well into 2026.
Julio Romero: I will pass it on. Thanks very much.
Operator: Thank you. Our next question comes from the line of Alan – Adam Thalhimer from Thompson Davis. Your line is now open.
Adam Thalhimer: Hey. Good morning guys. Nice quarter.
Lasse Petterson: Thanks. Good morning.
Adam Thalhimer: Can you give additional color on the reservations for the Acadia? If you get both of the reservations, you already have one, but if you get both, are you trying to say that your capacity would be booked into ‘29, or are you just saying that the reservations are between now and ‘29?
Lasse Petterson: Yes. The reservations agreements come through as the offshore wind developers, they would like to secure the capacity of the vessel for when they are bidding for the new PPAs and developments. And that gives us the opportunity to secure backlog for the vessel once those contracts are being – or those reservations are being converted into contracts. And the execution of this work that these agreements cover is from ‘28 and onwards. And it gives a solid, let’s say, utilization of the vessel here in the U.S. market for that period. It’s not giving us a full utilization, but it gives a solid foundation for utilization of the vessel.
Adam Thalhimer: Got it. Okay. That’s helpful. And then maybe it’s just me, but it sounded like you are more bullish on additional LNG awards. I don’t – is that including like Tellurian flipping from low bid into…
Lasse Petterson: Yes. Yes, so Tellurian has been sold to an Australian developer. And the opportunity there is now that it goes from being in our low bid, not awarded category and get into a contract for potentially next year or towards the end of next year. We just have to follow what Woodside decides to do on the project. But again, it’s a very strong opportunity. They do have FERC approval for the project. So, it’s not affected by the Biden ban on new approvals. So, that’s good news for that project.
Adam Thalhimer: And then, Scott, do you also – you commented on Q4 margins, what are your expectations on Q4 top line?
Scott Kornblau: I think it’s going to be – as I mentioned, every active vessel will be working and some of them the entire quarter have really good visibility to it. The revenue will start with the two. It’s going to be a very, very strong quarter on revenue. And as I mentioned, with the mix of projects that we have, the margins should – we will see an increase from the third quarter. I will tell you because it’s going to come out in our Q in a little bit. Anyways, we always put how much of our backlog will be earned in the rest of this year. And we will be reporting. It will be upper teen percent of the $1.2 billion backlog will be earned in the fourth quarter.
Adam Thalhimer: Thanks for that. And then just lastly on – I guess I am not asking for U.S. capital revenue next year, but I am just trying to think through the seasonality of capital next year, because I feel like other than what you just mentioned about the drydocking, I feel like you are – the revenue burn for capital should be pretty even next year. Is that a fair statement?
Scott Kornblau: Yes. I mean look – yes, I mean the projects that we are going to be executing, especially on the capital side and as you know, these capital projects are typically longer term in nature. They will be ongoing the same projects for a good part of next year. So, yes, when I kind of look at the big projects that we have won, Freeport, we just mentioned Sabine, we won Mobio [ph] earlier. Those are all relatively long projects that should be executing for a good part of next year.
Adam Thalhimer: Okay. Thanks guys.
Scott Kornblau: Yes. Thanks.
Tina Baginskis: Not sure what’s happening with the moderator, but if – I think Jon Tanwanteng is next in line from CJS.
Operator: Yes. Go ahead Jon, your line is now open.
Jon Tanwanteng: Hi. Thank you for taking my questions and really congrats on the nice backlog and the wins in the quarter. My first question is, could you comment on the NextDecade project and if that will continue into ‘25? And if it doesn’t, will you still be effectively fully utilized?
Lasse Petterson: Yes. We have no other information on that project other than what the – what NextDecade has said and that is that they are continuing on the project until they hear otherwise. So, we are in full blast on the project. We have a solid backlog. So, should there be a delay, we can move the dredges over to other projects. So, at this point in time, I don’t have any other information.
Scott Kornblau: Yes. And a couple of months ago, FERC came out and they said that they were going to do a supplemental statement on the project. FERC is definitely supporting this thing going forward. NextDecade has filed a petition against the hearing. And again, everything is moving full steam ahead and project is doing very, very well.
Jon Tanwanteng: Okay. Great. Thank you. And then if you could, what is your expectation for a comp in the G&A going forward? You obviously earned a nice bonus there, but I was wondering what the run rate should be as we think about modeling?
Scott Kornblau: Yes. Well, I mean if you just – obviously, most of the incentive is done a year at a time, so I will talk about the fourth quarter. My expectation is G&A for the fourth quarter comes in between $18 million and $19 million, and then everything gets reset and we will do a refresh for next year. So, I will give some more commentary on 2025 G&A on the next call. But I would imagine it to more normalize plus a little bit more for wind as we get much closer to getting on revenue with the Acadia.
Jon Tanwanteng: Okay. Great. And then it’s great to see you getting the reservation agreements for ‘28 and beyond. But I was just wondering what the prospects were for utilization of Acadia in late ‘26 and into ‘27 at this point. Are you seeing any progress there?
Lasse Petterson: Well, the status is, as we said on the last call, we have the Empire Wind projects and we have the Orsted Sunrise project. There are new options being discussed on those projects, so we have partial utilization in ‘26 and ‘27 will be from firmed up later.
Jon Tanwanteng: Okay. Great. Thank you again.
Lasse Petterson: Thanks Jon.
Operator: Thank you. This concludes the question-and-answer session. I would now like to turn it back for Tina for closing remarks.
Tina Baginskis: Thank you. We appreciate the support of our shareholders, employees and business partners, and we thank you for joining us in this discussion about the important developments and initiatives in our business. We look forward to speaking with you during our next earnings discussion.
Operator: Thank you for your participation today – in today’s conference call. This concludes the program. You may now disconnect.